Operator: Good day, ladies and gentlemen, and welcome to the Q1 2011 NiSource Earnings Conference Call. My name is Laura, and I'll be your operator for today. [Operator Instructions] I would now like to turn the conference over to your host for today, Mr. Glen Kettering, Senior Vice President of Corporate Affairs. Glen, please proceed.
Glen Kettering: Thank you, and good morning, everyone. On behalf of NiSource, I'd like to welcome you to our quarterly analyst call. Joining me this morning are Bob Skaggs, President and Chief Executive Officer; Steve Smith, Executive Vice President and Chief Financial Officer; and Randy Hulen, Managing Director of Investor Relations. As you know, the focus of today's call is to review our financial performance for the first quarter of 2011 and provide a business update. We'll then open the call to your questions. At times during the call, we will refer to the supplemental slides available on our website at nisource.com. I'd like to remind all of you that some of the statements made on this conference call will be forward-looking statements. These statements are subject to risks and uncertainties that could cause actual results to differ materially from those expressed in the statement. Information concerning such risks and uncertainties is included in the MD&A and Risk Factors sections of our periodic SEC filings. And now, I'll turn the call over to Bob Skaggs.
Robert Skaggs: Thanks, Glen, and good morning, and thanks for joining us today. This morning's agenda is brief to provide us as much time as possible for questions and discussion. So first I'll touch on a few key takeaways from our first quarter performance. Next, I'll note several key highlights for NiSource and each of our business units, and then we'll open the line to your questions. To kick off, a few key takeaways from the first quarter. If you turn to Slide 3 in the supplemental materials, you'll see several headlines but the core message is this, we're on track. First and foremost, our numbers are on track, perhaps more so than immediately meets the eye, as I'll touch on in a moment. The strength of this year's performance, if anything, is obscured a bit by a few items. So again, the overriding takeaway is that NiSource's regulatory, commercial and operational fundamentals are quite strong and our year-to-date performance is squarely in line with our 2011 earnings outlook. Second, our Indiana strategy is on track. As you know, a key focus for our NIPSCO team is successful resolution of our 2010 electric rate case. That case is moving forward, and we still expect resolution at the end of the year or early next year. Third, we're also building on our track record of successful regulatory and infrastructure modernization programs at our gas utilities. These efforts are generating positive results this year, and will continue to build long-term shareholder and customer value going forward. And finally, we remain on track with our growth investments at our Gas Pipeline and Storage business, with a particular emphasis on those projects that leverage our very attractive footprint in the Marcellus Shale region. Underpinning all these efforts is our commitment to effective financial management, and a strong liquidity profile is demonstrated by our new $1.5 billion 4 year revolving credit facility that we closed in early March. So the 10 second sound bite is this, NiSource is on track to deliver on a robust agenda of infrastructure investments paired with exceptional commercial and regulatory execution. With that preface, let's now take a closer look at the quarter, starting with our overall financial highlights on Slide 4. As you can see, we delivered first quarter net operating earnings, non-GAAP, of about $202 million or $0.72 per share. As I mentioned a moment ago, the year-over-year comparison is skewed a bit by 3 items: first, the quarter's revenues were reduced almost $20 million as a result of rate design changes under last year's favorable NIPSCO gas rate case settlement. Notably, those revenue impacts will be mitigated through the course of the year. Second, during the quarter, we recorded a non-recurring $8 million accounting charge related to environmental costs at NIPSCO. And third, in last year's first quarter, we recognized revenues of about $8 million, associated with the sale of native storage gas. When you take these items into consideration and consider the strong fundamentals posted for the quarter, you get a clearer picture of the ongoing earnings momentum we're building here at NiSource. With that, let's dive into our individual business unit results, starting with Indiana and our Electric business on Slide 5. Our Indiana team continues to make significant progress on our efforts to improve performance, modernize services and rates and restore NIPSCO's earnings to an appropriate level. From a financial standpoint, NIPSCO electric reported first quarter operating earnings of about $42 million compared to $46 million for the same period in 2010. Notably, NIPSCO saw an increase in its industrial margins and usage that helped drive a net revenue increase of about $9 million, excluding trackers. Operating expenses increased by about $13 million over last year's levels. However, that jump was due in large measure to the environmental charge that I mentioned a moment ago. On the regulatory front, NIPSCO remains on track to establish new electric base rates by late 2011 or early 2012. While the formal rate case process continues to move forward, NIPSCO is actively engaged in settlement discussions with all of its stakeholders. Once resolved, we're confident the case will position the company for ongoing growth through continued customer focus, investments in service, reliability and environmental infrastructure. Speaking of investments, NIPSCO is moving ahead on installation of a new Flue Gas Desulfurization or FGD unit at our Schahfer Generating Station. Preliminary engineering is complete, and the crews have prepped the site and started construction. You'll recall that this is the first of a number of FGD units planned across NIPSCO's system. These investments, more than $600 million over 6 to 8 years, will strengthen earnings while creating hundreds of project-related jobs and improving the environment and economic vitality of the region. Together, these new units will reduce SOx emissions by an additional 80% beyond current levels. Let's now shift to our Gas Distribution group on Slide 6. Our Gas Distribution operating earnings for the quarter were about $237 million compared to about $235 million during the same period in 2010. As I noted earlier, there's a bit of noise, net revenues excluding trackers were down due to the change in NIPSCO gas rate design, as were expenses. On the investment front, Columbia Gas Kentucky, Columbia Gas of Massachusetts, Columbia Gas of Ohio, and Columbia Gas of Pennsylvania all continued to advance their significant infrastructure modernization programs during the first quarter. These ongoing programs, which began more than 3 years ago, proactively and systemically replaced portions of our system to ensure continued reliable and efficient service, at the same time, growing earnings. As we continue to pair these programs with complementary regulatory activity, in fact, just last week, we received approval from the Public Utilities Commission of Ohio on our most recent filing to recover costs associated with our infrastructure replacement and energy efficiency programs, which will increase yearly revenues by about $24 million effective May 1. And in Pennsylvania, our team is advancing a base rate case filed in January, seeking enhanced revenues of about $38 million. The rate case is paired with an improved rate design, and new programs to help senior citizens and others better manage their energy costs. We expect to resolve that case by year's end. Without question, we believe the strong focus on infrastructure, modernization at our utilities, along with appropriate regulatory treatment, will benefit our customers and communities, as well as NiSource's shareholders for decades to come. Let's now take a look at our NiSource Gas Transmission & Storage Operations, highlighted on Slide 7. Here, the team's focus continues to be on market-driven growth projects, with particular emphasis on our extensive opportunities in the Marcellus Shale region. From an earnings standpoint, the NGT&S team generated operating earnings of about $119 million in the first quarter compared to about $126 million in 2010. Net revenues were relatively flat for the quarter, as a result of last year's native storage gas sales. Operating expenses were up only about $3 million. Commercially, our NGT&S team continues to aggressively pursue an inventory of growth projects, ranging from traditional transportation and storage services, to power generation, supply aggregation, and other Marcellus production-related projects. Some of our other near-term Marcellus investment includes the Clendenin and Smithfield projects, Line WB, and the Southern Appalachia project. Together, these projects will generate about 0.5 Bcf per day of new firm transportation capacity. Also driven by increased Marcellus production, Millennium Pipeline completed a binding open season for proposed mainline expansion projects to provide incremental firm transportation capacity to northeast markets. Notably, prior to the open season, the company executed binding preceding agreements with 2 anchor shippers. We're also advancing the new power generation project in the mid-Atlantic region. Although we can't share specific details at this time, it's clear the power generation market has real potential for us, given our strategic footprint between major generation hubs and the Marcellus Shale region. You'll soon see our FERC certification filing for this power gen [generation] project. On the regulatory front, Columbia Gulf 2010 $50 million general rate case moved forward with the company placing new rates into effect subject to refund on May 1. Columbia Gulf and the parties to the case are actively engaged in discussions to resolve the case. As you can see, the NGT&S team continues to execute on its strategy of maximizing the value of its current asset base and capturing disciplined, low risk, high value growth opportunities. To wrap up, 2 key points. First, we're squarely in line with our expectations and remain on track to meet the net operating earnings guidance of $1.25 to $1.35 per share, non-GAAP, for 2011. Second, we remain confident that NiSource will sustainably grow long-term earnings in the range of 3% to 5% annually, perhaps a bit more in the near term, so we execute on our Indiana business and regulatory agenda. As always, we'll communicate with you and all our stakeholders in a transparent and timely manner regarding these and all of our efforts through our analyst calls and news releases posted on nisource.com. Thank you for participating today, and for your ongoing interest and support of NiSource. Laura, let's now open the call to questions.
Operator: [Operator Instructions] Your first question comes from the line of Paul Ridzon from KeyBanc.
Paul Ridzon - KeyBanc Capital Markets Inc.: Could you just maybe give us some mile posts or milestones to look for in a potential settlement in the Indiana electric case?
Robert Skaggs: Sure, Paul. Maybe just a pressing comment or 2. As I mentioned in the prepared remarks, we're active in settlement discussions. We're in the midst of a round of one-on-one discussions, small group discussions. The discussions have gone according to plan. As you've heard me comment on several occasions, this is going to require concerted, concentrated efforts. But so far, so good. Process wise, we believe we're still up in that sweet spot or that window of time, where we believe we can reach a resolution. There's another round of evidentiary hearings scheduled for mid-month. That will again involve NIPSCO witnesses [ph] talking about cost allocation, rate design and the like. The intervener stakeholders are then slated to present their testimony. I believe it's in August, give or take, Paul. So we believe between now and August, Labor Day, we have that window of opportunity to work with the stakeholders and they continue to be responsive, constructive and we're working hard at achieving that settlement.
Paul Ridzon - KeyBanc Capital Markets Inc.: I guess, over the last couple of months, would you think you've gotten more or less optimistic about the prospects of settling?
Robert Skaggs: We stay very balanced about the prospects of settlement. As I've, again, repeatedly said, this case is challenging because it involves cost allocation, which requires a shifting of dollars among customer classes. And again, that's heavy lifting. So realistic approach to this, we have a fair shot at getting a summon. We're approaching it creatively. And I'm still relatively optimistic. I've also said that the second track of this proceeding is litigation. We feel very, very good about that track, we feel very, very good about our position. I would note that we've just seen the Commission issue a fairly significant rate decision in a vectoring case. We believe that decision is instructive, constructive and frankly, helpful to our litigation position. So we go down both tracks in a realistic and concerted effort, Paul.
Paul Ridzon - KeyBanc Capital Markets Inc.: And then just, separately, the Columbia Gas $50 million revenue increase, how seasonal is that?
Robert Skaggs: Paul, just for clarification, I'm just looking at the team here. I'm not sure I fully understood your question. But are you referring to the Columbia Gulf rate proceeding, rate case?
Paul Ridzon - KeyBanc Capital Markets Inc.: The FERC case.
Robert Skaggs: Yes. As I mentioned, those rates went into effect subject to refund on May 1. Like Columbia Gas Transmission and many of the interstate pipelines, it's primarily a fixed variable rate design. So once those rates are -- they have gone in effect, but once they are deemed just and reasonable, we collect those on a fixed variable basis, so they're spread fairly evenly throughout the year.
Paul Ridzon - KeyBanc Capital Markets Inc.: Perfect. That's exactly what I was looking for.
Operator: Your next question comes from the line of Jay Dobson from Wunderlich.
James Dobson - Wunderlich Securities Inc.: A couple of questions. First, start off on industrial sales particularly in the electric side. I know you've got a lot of concentration there. But 20 points, 3% increase in the quarter is pretty healthy growth. Just give us an idea sort of what you're seeing in the industrial side, certainly, after addressing electric, I'd love to hear what you think on the gas side, a little less concentration there?
Robert Skaggs: Yes, let me start on the electric side. As you've observed, the numbers are relatively strong. They're certainly being led by the steel manufacturers in the region. And, James, sure you've seen some of the announcements from U.S. Steel and Mills about a relatively bullish outlook on demand through the first 3 quarters of the year. And again, those outlooks are being reflected in their production in this region. You mentioned that we were up considerably quarter-to-quarter. We're also up fairly strongly first quarter compared to the fourth quarter of 2010. So again, we're seeing a reasonably good amount of strength in that area. I just remind you and everybody that our plan assumes a very measured, relatively slow recovery of the economy. So our outlook's not premised on a spike in demand. And, again, we're encouraged by this but our plan's not predicated on this being sustained over the near term. Paul, I'm sorry, Jay, you also mentioned gas volumes. And again, you see some pretty good strength across the footprint on industrial manufacturing throughput. So again, we're encouraged, the plan is not predicated on those sorts of increases continuing, but we feel pretty good about where we stand. And just one other editorial, and I know you recognize that on the industrial side, particularly on the gas side of our business, the margins for incremental throughput are relatively thin, relatively thin. So you're not going to see huge pops in revenue associated with that. And I'd also say on the electric side, we need the strength in the economy. We certainly enjoy the strength in the production. But again, a lot of the margin revenues are not being driven by those industrial increases.
James Dobson - Wunderlich Securities Inc.: Right. No, no, I absolutely recognize as you pointed out in the slides, $9 million revenue for a 20% growth in industrial sales. I absolutely appreciate that. That is great. And then on just the Marcellus infrastructure, just sort of your latest thoughts. Obviously, that area continues to be hot and I'd imagine from your perspective, ripe with infrastructure investment opportunities. How do you see that developing over the next couple of years? Most of us would probably measure it in the form of capital spending and opportunities for you all to invest and hence, produce earnings and cash flow?
Robert Skaggs: We think going forward over the next couple of years, our target, and we've been fairly clear on this, is to spend about $200 million a year in the Marcellus region. On, relatively speaking, small bite sized projects that debottleneck, add capacity and the like. This year, we're going to spend about $150 million in the region. We believe we're on track for that spend. And the vast majority of the spend will continue to be on those bite size, smaller projects to enable the production to get to a liquid point as quickly as possible. Like you, we see the region continuing to be active, and we continue to work with the key players in the region: Range, CONSOL, MarkWest and others.
James Dobson - Wunderlich Securities Inc.: That's great. And then lastly, I don't think I quite follow you in your earlier comments, Bob, but you mentioned an accounting charge of about $8 million and you put it in the environmental category. I was wondering, if you could just give us a little insight there. I'm sure it's in the Q.
Robert Skaggs: Yes, this is a NIPSCO electric. By the way, I don't believe it is, yes, it is in the Q, sure it would be in the Q. This is a NIPSCO electric, and during a routine scrub of our regulatory assets at NIPSCO, we discovered a relatively few old and relatively old deferrals of NIPSCO environmental cost that we just didn't believe are recoverable. And I'd just emphasize a couple of things. Nonrecurring, this is not a go-forward problem with environmental cost, this is not a go-forward problem with the environmental cost recovery tracker in Indiana.
James Dobson - Wunderlich Securities Inc.: So more of just a cleanup of some of these older costs?
Robert Skaggs: Yes, just a routine scrub.
James Dobson - Wunderlich Securities Inc.: Dynamite. I appreciate the time.
Operator: Your next question comes from the line of Stephen Maresca from Morgan Stanley.
Stephen Maresca - Morgan Stanley: A couple of questions, if I may, on the Gas Transmission & Storage. First on the quarter, and just -- the earnings were down a little bit, but -- and you mentioned, decreased your short term [ph] transportation and storage services. Help me think about what's the outlook for that, for the remainder of this year over the next 4 quarters? And how should we be thinking about the decrease in the quarter? I know there was a gain in the first quarter of '10 that helped that?
Robert Skaggs: You could just take a close look at the numbers. But let me give you the negatives and the positives when I think about NGT&S for the quarter and for the year, and you mentioned a couple of them. We had the storage gas sale first quarter of 2010. Our optimization business, park and loan business continues to be flat or down a bit. And then there's also a interest increase that occurred at Millennium as they firmed up their financing. Again, these are unusual out of the ordinary sorts of occurrences, I think, that do skew the quarter a bit. But when you drill down and look on the NGT&S numbers, several notable pluses and takeaways that continue for the balance of the year and going forward. Number one, you'll see demand and commodity revenues are up in a very positive fashion, again reflecting projects, re-contracting and the like. You'll also see that volumes are up considerably. And third, their underlying expense structure continues to be well-managed, aggressively managed. And then last but not least, beginning in May, we have the lift from the Columbia Gulf rate case. We'll reserve a portion of that case, but nonetheless, we'll have a significant lift coming in. So again, when you cut through a bit of the noise and look at the key fundamentals, demand, commodity, volumes, expenses, regulatory activity and then the projects that we're working on, we feel good about NGT&S and where it stands.
Stephen Maresca - Morgan Stanley: Okay, that was helpful. Switching, same segment but into the growth outlook, and you talked about 150 this year, 200 as a target annually in the Marcellus region. What sort of needs are you seeing from producers right now? Is it more on the strict pipe side or would you consider, think about getting into more of a liquid opportunity, if that arose? And how are contracts being -- are they still favorable, is there still enough demand to get commitments?
Robert Skaggs: Yes, on the last one, we believe the market is still favorable to get commitments and structure arrangements that we feel meet our risk profile. In the way of what the producers are looking for and you touched on most of those, but it's a gathering, quasi gathering, debottlenecking, getting gas to liquid points, where they can monetize as quickly and effectively as they can. We do believe that there will be opportunities for processing and the like, liquid handling and the like. That hasn't necessarily been our sweet spot. Would we consider opportunities to enable or to leverage our ongoing investments in the area? Sure. But they're going to have to meet our risk return profile. And again, we do believe there are opportunities in that region. We've said this consistently, we don't see production levels at levels that would support large scale, long line expansion projects. We do believe though as production grows, and we do have more critical mass, the gas will go further downstream, we'll seek markets that will require larger scale investments. But for the time being, the bite size, access providing sorts of projects, that's where we'll continue to focus.
Stephen Maresca - Morgan Stanley: Okay, that's helpful.
Operator: Your next question comes from the line of Carl Kirst from BMO Capital.
Carl Kirst - BMO Capital Markets U.S.: Actually, this -- Bob, if I could just key off the last comment you made. Most of my questions have been answered here. But in recognizing that you guys are speaking at LDC forums and trade group meetings all the time. There was one media article that ran about perhaps you guys looking at a mid-Atlantic pipeline, which if I kind of go into memory, I don't know if I remember the name right, but it was like the old Patriot proposal from way back when? How serious is that? I mean, at this stage, is this something where we could in fact be looking at a new pipeline to serve mid-Atlantic generation, I guess, feeding mid-continent shale gas? Or is that something we should be putting more in the 3 , 4 , 5 year kind of bucket?
Robert Skaggs: It would be the latter sort of consideration. But, Carl, if I could maybe I'll just give you a bit of an overview and a perspective from management on growth projects at NGT&S. Without a doubt, without a question, the primary focus is going to be leveraging this Marcellus opportunity that we have. That's job 1, 2 and 3. And as you recognize, that's a supply push, a producer push sort of opportunity. We are not going to predicate our entire growth on supply push, so we are looking for demand opportunities on system, adjacent to the system. So we are going to continue to look at demand opportunities. I mentioned the one power generation project that we are actively advancing. That's a good example of continuing to focus on the demand side of the market. The opportunity that you mentioned is called Kennesaw. And again, it represents demand focused opportunity for us. It's a potential opportunity to provide an outlet or another market for Marcellus gas. As you suggested, this project is in the early, early stage of development. So that's one of the reasons it's not reflected in our formal comments today because we're actively working the market to determine whether this has a real potential for us. So that's the overview on where we stand. This project is a long-term sort of look. And I'd just close out by saying our tenants for growth remain the same. And anything we do is going to be focused, is going to be disciplined. Project, or projects will be 100% contracted for. And as you know, we try to actively risk manage projects through the use of structured arrangements, joint venture partners or whatever. So a little bit of an overview and a little bit of color around how we regard demand projects.
Carl Kirst - BMO Capital Markets U.S.: I appreciate that. Maybe one other question on the pipes and this kind of speaks to Millennium. And I know you guys are kind of going through the binding, the results of the open season. But if that were to move forward, what would be the timing of potential capacity expansion at Millennium? And I guess, I'm also trying to just brainstorm and think about this in terms of the PENNSTAR pipeline, which goes into Millennium, because our understanding is that the wells coming out in Northeast Pennsylvania are so large that even Millennium is now kind of getting backed up for your open season. And so, is PENNSTAR partly predicated on the fact of getting more capacity on Millennium?
Robert Skaggs: We certainly believe that would be a help. But maybe I could just go to the Millennium point. The timing of the expansion, 12 to 24 months is the window for this expansion. We do believe that there are additional opportunities to effectuate very economic expansions of Millennium. So we believe, down the road, there could be additional phases, and so consider this maybe Phase 1 of that expansion. To PENNSTAR, we've been consistent in saying we believe this a 2014 project, part of the softening of gas prices has moved that back a year or so. Clearly, opportunities for additional capacity on Millennium, I think, enhance the position of the PENNSTAR.
Carl Kirst - BMO Capital Markets U.S.: Great. I appreciate the color.
Operator: Your next question comes from the line of Faisel Khan from Citi.
Faisel Khan - Citigroup Inc: A few questions. The projects you guys outlined in your gas transmission storage, like the mid-Atlantic power generation projects and the 2 projects below. What would be the cost of these, the aggregate cost of these projects?
Robert Skaggs: I didn't hear your first point. I heard something about the power gen? The size of that project is roughly $40 million, give or take.
Faisel Khan - Citigroup Inc: Okay. And it's the same thing for these other projects, too, or are they smaller than that?
Robert Skaggs: In aggregate, they approach $40 million to $50 million.
Faisel Khan - Citigroup Inc: Okay, I got you. And then if I'm looking at the, and I think you addressed this a little bit in some of your comments earlier, if I'm looking at these throughput volumes at Gas Transmission & Storage, year-over-year, was that mostly driven by weather or was there something else that was driving those volumes?
Robert Skaggs: Let me check. I believe these are all weather normalized that you're looking at on NGT&S and in fact, for the other units. And so from my perspective, it's been increased demand and utilization of our facilities.
Faisel Khan - Citigroup Inc: Okay. So the throughput growth numbers you're seeing on Columbia Gas Transmission, year-over-year, has really increased customer use of your pipe? It's not weather-driven?
Robert Skaggs: Yes, that's right. It's basic usage. Now again, I would remind you, the margins are very thin because the pipeline, both Columbia Gas Transmission and Columbia Gulf are fixed variable pipelines, so the contribution from that throughput is nominal.
Faisel Khan - Citigroup Inc: Sure. And then on the electric generation side, the industrial volumes that you guys reported this quarter versus the fourth quarter of last year, so fourth quarter 2010 seemed to be up somewhat significantly, too. I just want to make sure, was that weather-driven or was that more demand-driven?
Robert Skaggs: It was demand-driven. It was about 14%. It was production from manufacturing, steel producers and the like in the region.
Faisel Khan - Citigroup Inc: Okay. As we stand here today, do you see that level of demand kind of sustaining into the rest of this year?
Robert Skaggs: We believe it will be flattish. There are suggestions that the fourth quarter, we're going to see a drop off as the production cycle begins to wind down. Again, we're just very conservative on the outlook for continued growth in that area. We've been pleasantly surprised. But again, the plan is not really predicated on sustaining these sorts of growth rates for these levels.
Faisel Khan - Citigroup Inc: Got you. Okay. And then just last question, on the Flue Gas Desulfurization unit? What's the cost of that one unit for that plant?
Robert Skaggs: The first one, Unit 14, is in the ballpark of $200 million.
Faisel Khan - Citigroup Inc: Okay. And that will be spent over the course of this year?
Robert Skaggs: This year and next year. We need to have that unit in service roughly by the end of 2013.
Faisel Khan - Citigroup Inc: Okay, got you.
Robert Skaggs: So '11, '12, '13.
Faisel Khan - Citigroup Inc: Perfect. I appreciate your time.
Operator: [Operator Instructions] Your next question comes from the line of Elvira Scotto from Credit Suisse.
Elvira Scotto - Crédit Suisse AG: I just had a couple of follow-up questions. Following up on one question where you indicated that if there are some opportunities within processing and handling in the Marcellus area, you would look at it, but it has to meet your risk reward profile. Does that mean that you may consider some fee-based processing? Or would you actually take on some commodity price exposure?
Robert Skaggs: Fee based. Fee based. We've been religious about our approach to the business and about maintaining an appropriate risk profile. So our center of gravity, our bias is fee based activities.
Elvira Scotto - Crédit Suisse AG: Okay, perfect. And just to follow up on the mid-Atlantic power generation project, a couple of questions there. Is that part of the $200 million spend in the Marcellus? Or is that an incremental project?
Robert Skaggs: We consider that incremental. Again, the objective is in the Marcellus region, on annual basis to deploy $200 million.
Elvira Scotto - Crédit Suisse AG: So that $40 million would be incremental to that $200 million?
Robert Skaggs: Correct.
Elvira Scotto - Crédit Suisse AG: Okay, great. And then, if there's a projected in service date of 2014, at what point would you have to move forward with -- what's the timeline?
Robert Skaggs: Well, Keep your, as I suggested in my prepared remarks, keep your eyes peeled for a FERC certificate filing for that project within a relatively short period of time.
Elvira Scotto - Crédit Suisse AG: Okay. And then just to confirm, on the demand, if you start building more pipe -- demand pull but from Marcellus gas, is that also considered incremental to the $200 million of Marcellus spend, or is that longer-term part of that spend?
Robert Skaggs: What we've been saying this, over the next 1 to 4 years, we'd like to spend $200 million a year in Marcellus on the smaller, debottlenecking aggregation sorts of projects. So that's what the $2 million (sic) [$200 million] is about. When you get further downstream, power, LDC markets and other demand areas, that would be outside of the $200 million.
Operator: There are no further questions at this time. I'll now turn the call back over to Bob Skaggs for closing remarks.
Robert Skaggs: Thank you, Laura. And thanks to everyone for participating this morning. We appreciate your engagement and your ongoing support of NiSource. We'll see you soon. Thank you.
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for your participation. You may now disconnect, and have a great day.